Operator: [Call Starts Abruptly] …following the recording. Now I would like to introduce your, Vice President of Investor Relations, Scott Beilharz.
Scott Beilharz: Thank you, and welcome, everyone. We appreciate you joining us for the recorded discussion about our 2021 First Quarter Results. This recording includes remarks from Tim NeCastro, President and Chief Executive Officer; and Greg Gutting, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website erieinsurance.com. Before we begin, I would like to remind everyone that today’s discussion may contain forward-looking remarks that reflect the company’s current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors may cause these differences, please see the Safe Harbor statements in our Form 10-Q filing with the SEC, dated April 29, 2021, and in the related press release. This prerecorded call is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. With that, we will now move on to Tim’s remarks. Tim?
Tim NeCastro: Thanks, Scott, and good morning, everyone. I hope that you and your loved ones are staying safe and healthy. Last week, we held our annual meeting with shareholders, which was conducted virtually for the second time in the company’s 96-year history. That’s something we never expected to do more than once after shifting formats in 2020 due to the pandemic. COVID-19 has affected our lives for much longer than any of us anticipated, but we are hopeful that brighter days are ahead and some semblance of a return to normal activity is not too far in the offing. That normalcy includes our efforts to begin returning more employees to the workplace in line with safety considerations and productivity advantages. Turning to our first quarter, I’m pleased to report that even after the most tumultuous year, we delivered solid financial results and are well-positioned to continue that strong performance again in 2021. As you saw in our press release filed after the market closed yesterday Erie Indemnity reported net income of $74 million or $1.41 per diluted share for the first quarter. This is compared to a net income of $59 million or $1.13 per diluted share in the first quarter of 2020. In the first three months of 2021, we grew premium by 1.7%. This increase was largely driven by strong retention and growth in total policies in force by 2.8%. The continued impact of the pandemic on driving behaviors and puce of your weather events and our footprint contributed to an outstanding first quarter combined ratio of 87.3%. Well, this positions us well going into the rest of the year. It’s important to note that we expect combined ratio will normalize as the economy recovers and driving returns to more historic levels. Now I’ll turn the call over to Greg to expand our first quarter results. Greg?
Greg Gutting: Thanks, Tim. Good morning, everyone, and thank you for taking the time to be a part of Erie Indemnity’s first quarter 2021 earnings call. I am excited to share with you our financial performance for the quarter. As Tim mentioned, last week we held our 2021 annual shareholders meeting. Although this year’s meeting was again held in a virtual setting, we established a connection with our shareholders by sharing the many ways we maintained our human touch and a year the challenge that objective immensely. And today, I look forward to connecting with you and sharing our success during the first quarter. Starting with the Exchange, the insurance operations we manage, direct written premium growth for the first quarter was 1.7%, new business premiums increased 19.7% in the first quarter of 2021, compared to the same period in 2020, while the average premium per policy on new and renewal policies decreased 1.5% driven by the rate reductions on personal and commercial auto policies that began in the third quarter of 2020. Exchange’s combined ratio for the quarter was 87.3% and policy holder surplus remains very strong at $11.3 billion, up from $10.7 billion at the end of 2020. Shifting our attention to Indemnity. First quarter 2021 net income was $74 million or $1.41 per diluted share, compared to $59 million or $1.13 per diluted share in the first quarter of 2020. Operating income decreased nearly $10 million or 11.2% in the first quarter of 2021, compared to the first quarter of 2020. Indemnity’s management fee revenue from policy issuance and renewal services increased $12 million or 2.7% to nearly $456 million in the first quarter of 2021, compared to the first quarter of 2020. Management fee revenue allocated to administrative services was nearly flat $15 million for the first quarter of 2021, compared to the same period in 2020. Turning to Indemnity’s cost of operations related to policy issuance and renewal services. Commissions increased $9 million in the first quarter of 2021, compared to the same period in 2020. This was the result of the 1.7% increase in the direct and assumed premiums written by the Exchange, primarily in lines of business that pay a higher commission rate. And to a lesser extent from increased agent incentive compensation. Non-commission expense increased $12 million in the first quarter of 2021 compared to the first quarter of 2020. Information technology costs increased $4 million, primarily due to increased hardware and software costs as well as increased professional fees. Administrative and other expenses increased $9 million, primarily driven by increased professional fees and an increase in incentive plan accruals tied to improved performance metrics in the first quarter of 2021 compared to the first quarter of last year. Income from investments before taxes totaled $18 million for the quarter compared to a loss of $9 million during the first quarter of 2020. We recognize $9 million in earnings on our limited partnerships in the first quarter of 2021, while first quarter 2020 results were driven by the COVID-19 pandemic impact on the financial markets. As you can tell from our report this morning, Indemnity is well positioned to face 2021 head on, and I look forward to sharing our success with you this year. Now I’ll turn the call back over to Tim. Tim?
Tim NeCastro: Thanks, Greg. As our financial results confirmed, we’re off to a strong start again this year. On our last call, I talked about the many advancements made in 2020 to bolster our competitive position with a substantial focus on augmenting Erie’s distinctive human touch to greater digital capabilities. In the first three months of 2021, that momentum continued. Online account launched in 2019 gives customers flexibility to do business with us in ways that are most convenient for them. And two new features released in March are further enhancing the customer experience. First, the new paperless billing feature allows customers to opt out of paper billing statements. This feature addresses customer preferences and will lead to a significant cost savings over time. It will also reduce waste and supports our commitment to being a good steward of environmental resources. Customers can also now store payment information securely in their online account digital wallet. This means, they no longer need to reenter a credit card number or other payment method each time they pay, making future payments faster and easier. We continue to expand the use of telematics in response to consumer demand. In March, your turn, our telematics program expanded into Pennsylvania. The program, which tracks driving behaviors and reward safe drivers, already available to drivers in Indiana, Maryland, Ohio, Tennessee, Virginia, Wisconsin and West Virginia. More than 27,000 drivers, including me and my wife are now registered on Erie’s platform. Our progress in the first quarter comes on the heels an impressive year of product enhancements made in 2020. Together, we anticipate they will strengthen our competitive position in the marketplace, boost our value proposition with customers and reinforce our relationship with the dedicated independent agents, who represent Erie. The results of our recent agent satisfaction survey show that we’re on the right track on all fronts. This year survey received an unprecedented 99% response rate and satisfaction ratings are up significantly, both overall and across every factor measured in the survey. Agents overall satisfaction with Erie reached an all time high of 8.7 out of 10. And new to the survey this year, agents were asked to rate Erie’s value proposition, they gave our value proposition and impressive rating of nine. This valuable feedback from our agents reaffirms how committed they are to our shared success. And it will without a doubt lead to even greater collaboration and stronger partnerships moving forward. Before we close, I’d like to announce third-party recognition that Erie received just last week. Forbes has named us to its list of America’s best employers for diversity in 2021. And I’m proud to say that we’re ranked 18th out of 500 companies. This is an exciting recognition and a testament to our ongoing efforts to create a more diverse, equitable and inclusive workplace. Nevertheless, there is most companies in America now recognize a lot more needs to be done. We are committed to continuing this important work in the best interest of our investors, employees, and the communities we serve. As always, I’d like to express my gratitude to our employees and agents, their commitment to being above all in service and to our shareholders for their continued support and trust. Thank you for listening in today and for your continued interest in Erie.
Operator: Thank you, ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.
Operator:
A - :
 :